Operator: Good day, everyone, and welcome to the Manitowoc Third Quarter 2020 Earnings Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I'd like to turn the call over the Ion Warner, Vice President, Marketing and Investor Relations. Please go ahead.
Ion Warner: Thank you and good morning everyone, and welcome to the Manitowoc conference call to review the company's third quarter 2020 financial performance as outlined in last evening's press release. Participating on the call today are Aaron Ravenscroft, our President and Chief Executive Officer and Dave Antoniuk, Executive Vice President and Chief Financial Officer. Today's webcast includes a slide presentation, which can be found in the Investor Relations section of our website under Events & Presentations. We will reserve time for questions and answers after our prepared remarks, and I would like to request that you limit your questions to one and a follow-up and return to the queue to ensure everyone has an opportunity to ask their questions. Please turn to slide two. Please note that our safe harbor statement in the material provided for this call. During today's call forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors among others described in the company's latest SEC filings. The Manitowoc company does not undertake any obligation to update or revise any forward-looking statement, whether as a result of new information, future events, or other circumstances. And with that, I will now turn the call over to you there, Aaron.
Aaron Ravenscroft: Thank you, Ion, and good morning, everyone. During our last call, I outlined Manitowoc's three key priorities for managing through the COVID-19 pandemic, which are: One, manage the health and safety of our employees, two, strengthen our balance sheet, and three, position the company for long term growth. I'm proud to report that our team has done an extraordinary job delivering on all three of these priorities, and I thank all of them for a job well done. Orders for the quarter were $390 million and frankly, much stronger than we had anticipated. This laid the groundwork for us to increase our factory production and certain facilities where we had an aggressive shutdown plan and allowed us to deliver on the strong quarter. We generated $21 million of free cash flow during the quarter and ended the quarter with $101 million of cash on hand. Our total liquidity of $397 million at the end of September positions us well with the cyclical nature of the crane business and to execute on our strategic growth initiatives. With that, I'll ask Dave to take us through the details of the financial results. And I'll close with some more color on the market outlook and our strategy. Dave?
David Antoniuk: Thanks, Aaron, and good morning, everyone. Let's move to slide three. Our third quarter orders totaled $390 million, an increase of 10% compared to $353 million of orders last year. The year-over-year increase was driven by improved crawler crane demand in the American segment, partly offset by declines in other product lines due to the continued effect of COVID-19 on our end markets. In addition, we secured a couple of large mobile crane project orders in the MEAP segment, which contributed to the year-over-year increase. Favorable changes in foreign currency exchange rates positively impacted our year-over-year orders by approximately $6 million. The book to bill on the quarter was 1.1. Our third quarter ending backlog of $465 million was essentially flat over the prior year and up $35 million or 8% on a sequential basis. Improved backlog in MEAP and EURAF segments were fully offset by a decline in the Americas. On a currency neutral basis, backlog decreased 4% year-over-year. Net sales in the third quarter of $356 million decreased $92 million or 21% from a year ago. The decrease was primarily attributable to softness in the U.S. market for most mobile crane products during the first half of the year due to the impact from COVID-19 resulting in a lower shippable backlog entering the quarter. Net sales were favorably impacted by approximately 2% from changes in foreign currency exchange rates. Our aftermarket revenue in the quarter declined slightly over the prior year. Gross Profit decreased $23 million year-over-year, mainly driven by the lower volume in the Americas. Gross profit percentage decreased 140 basis points to 18% from the same period in 2019, primarily due to the impact of lower production levels. Third quarter engineering, selling, and administrative expenses of $50 million decreased by approximately $5 million year-over-year. The decrease was primarily due to lower employee related cost including short-term incentive compensation costs and reduced discretionary spending. As a result, third quarter adjusted EBITA amounted to $25 million, or 7% of net sales. Our flow-through on the year-over-year sales decline was approximately 19%, reflecting excellent performance and managing our costs in this uncertain environment. Restructuring costs in the quarter totaled $4 million and were mainly due to headcount reductions in the Americas. Our GAAP diluted earnings per share in the quarter was a loss of $0.1 per share versus income of $0.51 cents per share in the prior year. On an adjusted basis, diluted earnings per share were income of $0.10 compared to $0.54 in the comparable period. The primary driver of lower adjusted diluted earnings per share was the impact of reduced year over year sales volume. In the third quarter, we generated $28 million of operating cash flows, which was primarily driven by a reduction in working capital of $19 million. On a currency neutral basis, we reduce inventories by approximately $18 million during the quarter. We continue to closely manage our working capital needs to current demand levels and remain on track to achieve our plan to $80 million inventory reduction on a currency neutral basis. During the third quarter, total liquidity increased approximately 12% from a year ago. In the quarter, we repaid the $50 million draw on our ABL facility and ended the period with zero borrowings on our ABL facility. Our liquidity remained sufficient to meet our obligations for the foreseeable future. Additionally, we do not have any significant debt maturities until 2026, and as stated in previous calls, our 2019 debt agreement simplified and eased covenant compliance affording us greater flexibility to access our liquidity. Our net debt leverage ratio is 2.6, providing us with sufficient runway to deploy capital for growth initiatives. Due to the significant uncertainty regarding the impact that COVID-19 would have on our end market demand and supply chain, on March 27 2020, we suspended guidance for 2020. Although significant uncertainty continues to persist in the markets we serve, our line of sight to fourth quarter results have improved. Accordingly, our forecast for revenue is between $425 million and $450 million, and between $18 million and $23 million for adjusted EBITDA. With that, I will now turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Dave. Please move to slide four. The third quarter was a refreshing recovery from the steep decline that was experienced in the first half of the year, but we are not out of the woods yet. The COVID pandemic continues to create uncertainty and industry confidence remains weak. In the Americas, we still face headwinds, including COVID, presidential election dynamics, challenging oil prices, and elevated dealer inventory. Demand for crawler cranes has been better, however, when speaking to our customers and dealers, the consensus is that we won't see a broad recovery until mid-2021 at the earliest. In Europe, we saw good orders during the third quarter reflecting a bounce back after business grounded to a halt in the second quarter. Although looking forward, we are most concerned with this region. The recent spike in COVID cases is weighing heavily on the general sentiment, even more so than in the United States as certain countries have implemented severe lockdowns. And if you recall, the tower crane business in this region was already cycling down before COVID hit. In MEAP, I would describe customer sentiment as mixed. China and South Korea have been relatively strong for us in 2020, and we've landed a couple nice sized projects in the Middle East. That said, we have to see structural improvements in the Middle East economies that would give us confidence that a sustainable recovery is imminent. Southeast Asia and India remained very slow. Lastly, while Australia has been strong throughout the summer, we have seen some signs of a slowdown as the geopolitical situation with China evolves. There is no question that we are operating in unprecedented times. While we continue to manage the business closely during these challenging market conditions, we are also proactively taking action to accelerate our growth when the market recovers. Our investment in new product development remains on track, and we are developing new strategies to get closer to our customers to grow the business. Please turn to slide five. This will give you some insight as how we are beginning to think differently about the business. This slide breaks down the different revenue streams that are derived from a tower crane. Historically, we've primarily focused on the sale of new cranes which served us well in markets. We have strong distributors and partners. However, there are certain geographic territories such as Germany where some of our partners don't have the balance sheet to take advantage of rental fleets of large top selling tower crane. In addition, large international construction companies rely on crane rentals to help manage their fleet and they are beginning to shift their preferences to rent from OEMs as part of bundle deals. Beyond the obvious benefits of having a rental fleet to rent cranes, this business model helps facilitate greater service revenue and use equipment sales. Moreover, many customers prefer to rent a crane for two years to work down the acquisition price prior to the actual purchase. We see this approach as an opportunity to diversify our revenue streams and generate attractive returns in markets where we have opportunity to grow our share. We quietly trialed this initiative during 2020 with good success, and intend to expand this initiative in 2021. We will continue to share more on this initiative as it matures, but we wanted to give you some insight on how we are changing our mindset around growth. In closing, improvement in our financial performance in the current down market is proof that we have created a sustainable standalone crane company. We have significantly transformed our cost structure with the implementation of the Manitowoc Way. Over the next five years, we will need to approach growth with the same rigor that we attacked safety, quality, and cost over the last five years. We will continue to utilize Manitowoc Way as our platform for driving our company culture. We believe there are plenty of opportunities for organic and inorganic growth in segments of the crane business that are less volatile and offer a better margin profile. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] And we'll go first to Jerry Revich with Goldman Sachs.
Jerry Revich: Hi, good morning, everyone, and congratulations on the strong quarter here. I want to ask as you look at the order pipeline over the next couple of quarters, can you can you just rank order for us? Which regions you expect to drive order and potentially backhaul growth? In other words, who were the prospects most attracted based on what you see today?
Ion Warner: Yes, so there is different seasonality and season patterns the way that orders are - but to be perfectly honest, right now in the current environment, it's tough to get much visibility beyond a couple months. So I think it's tough to give you a good answer in detail on that, Jerry, I would say that if I look at the Americas, we're at a low level and comps begin to get easier, and there's some opportunities out there. There's still projects in the Middle East, I think will help us out. And some of the new products that we've launched out of China business, I think will help us in APAC. I would say like I mentioned in the prepared remarks, Europe is what I worry about the most.
Jerry Revich: Okay, thank you. And then can you expand on the initiative in rental cranes in Germany? What level of CapEx are we thinking and seating that business and what's the return on capital level that you're thinking about it as you allocate capital in that direction?
Ion Warner: So we invested roughly $4 million at the end of 2019, into a couple of units that we put into the fleet and had good success with that. Right now, we're in the process of actually building $5 million of the cranes that will go into the fleet in January. And as we build our budget, and look, what are the opportunity - other opportunities, we have to invest our cash for evaluating different options of maybe expanding that a little more, and we'll have more color for you on that in February. With respect to returns, I'd just say that it's to just prioritize what our opportunities are for all of our CapEx. This always sounds very high on the list.
Jerry Revich: Okay. Thank you.
Ion Warner: Thanks, Jerry, have a good day.
Operator: We'll go next to Michael Shlisky with Colliers Securities.
Jacob Parsons: Hello, this is Jacob Parsons on the call for Mike, sorry for the confusion there. But I'll get right to it. Can you kind of talk about the general pricing environment for cranes. If there's any nuances between the category, but really appreciate kind of any detail you could give there?
Ion Warner: Yes, so I'd say broadly that we haven't seen - we're not taking price reductions, let's say or they're not many requests, I think it's sort of holding paces where we've been That being said, when there's a large project, those are always negotiated in markets like the Middle East and Southeast Asia, which has been really down for a long time now. Those are always very, very strongly negotiated and there's downward pressure.
Jacob Parsons: Okay, Got you. Got you. Thank you. And one final question here. I know it's only been a couple days since the whole election, you still don't have a real winner in sight quite yet. But have you ever had any chance to talk to customers or the teams around? What's your attitude now regarding post-election? I know you guys kind of talked about how the election has been kind of a sore spot. But when it comes to getting back to buying cranes, has there been any talk with customers quite yet?
Ion Warner: No, I mean, I think it goes back and forth. There's people debating what the effects could be from a tax perspective. And then the other side of it is talk about infrastructure. So I think it's really just a wait and see attitude.
Jacob Parsons: All right, got you. I appreciate it. That'll be all. Thank you.
Ion Warner: Thank you.
Operator: We'll go next to Stephen Volkmann with Jefferies.
Stephen Volkmann: Hi, good morning, guys. Thanks for taking my question.
Ion Warner: Good morning.
Stephen Volkmann: I wonder if we could just talk a little bit about sort of the cadence of some of the cost actions you've taken. I think you mentioned, Dave, some short-term incentive comp and some discretionary savings. And it looks like, based on your guidance, maybe some of those start coming back in the fourth quarter. And then I'm trying to figure out, I guess, really what does 2021 look like in terms of kind of those costs coming back? And then perhaps maybe some benefits of some of the restructuring that you've been doing as well. So that's my question. Thanks.
Ion Warner: Okay, so I'll speak broadly, just in terms of the outlook on some of those items that you raised, Stephen, then I'll ask Dave, to speak directly to the fourth quarter, and those other questions around the restructuring details. I'd say that the current situation around the globe is really dynamic with respect to this COVID pandemic. Every country, every market is being affected differently. One of the things that we see out there is unfavorable. Next, quite frankly, probably, that's the biggest challenge that we have, just as whether it be geographic or even product oriented. So like now, we've got some challenges there. And then with respect to these cost challenges, as we look out, there's definitely some costs that we took out with things like lower travel, but we'll come back as we go back to normal, or some version of normal. And of course, we're not immune to some of these other costs that are out there, like such as insurance, which has been a really dynamic market since COVID hit. Dave?
David Antoniuk: Yes. So Steve, I'll just comment that sequentially, we will probably see an uptick in our SG&A cost. But year-over-year will still be down. We will have less of the benefit in our short-term incentive plan in Q4 than we have in Q3. In addition to that, we had recently gone through our insurance renewal, which is, our new premiums are going to affect Q4 adversely and into 2021, as well. So a lot of the cost reductions, there was big benefit in Q3, we're getting some headwinds to that in Q4. So, one of the reasons that we'll see an uptick in cost in Q4 versus Q3.
Stephen Volkmann: Okay, great. Maybe I can push you one step further. Let's assume that next year's kind of flat and that's my assumption not yours from a volume perspective, how do I balance those temporary costs coming back with whatever benefits of sort of improved productivity and or restructuring that you might have coming in next year?
David Antoniuk: Right. Yes, great question. So, you know, I think that there's - when we looked at high level of puts and takes, there's a little more headwinds in our cost structure than anything. I think the number one item coming back is when you look at salary and step expenses, short term incentive plan expenses, in 2020, we did not have any salary increases, nor do we anticipate any significant amount of short-term incentive compensation costs. In addition, we talked about the insurance. And finally, what I'd say is that FX is going to be a headwind for us, particularly for those products that we manufacture in Europe and some at the United States, which are pretty significant. So Stephen as we come out of the pandemic, we believe there'll be a bit of a hangover that we need to manage through.
Stephen Volkmann: Understood. Thank you guys.
David Antoniuk: Thank you, Steve.
Operator: We'll go next to Ann Duignan with JP Morgan.
Shahrokh Moinian: Hi, thanks. This is Shahrokh Moinian for Ann. You mentioned that you're still on track to reduce your inventories - volume before the year end. Would you expect these cuts to be enough to right size the inventories or would you expect further reductions to be required in the 2021?
Ion Warner: Generally speaking, I think that we have a cycle. So typically what our cycle does is we build inventory in the first half of the year, and inventory comes down in the second half of the year. So I believe that that cycle will, again exist in 2021. So we'll be used to cash at the beginning of the year. And I just said that, in some respects, was tied to what our orders are. So if we come out of this, and orders are really strong midpoint of the year, second half, that will have an effect on what our build schedules are. So we'll continue to manage it tightly relative to what our order book rate is.
Shahrokh Moinian: Thanks, appreciate the color there. And then we noticed that wind projects have been a bright spot for crawler demand. Could you discuss a little bit more about your product offering in this market and kind of elaborate more on your competitive positioning by region?
Aaron Ravenscroft: Yes, so, I mean, we - because we manufacture in the United States, and where currencies have been over the last 10 years, and that's really where the main emphasis is with respect to where we serve the wind market. Several years ago, we launched a couple new MLC units of 300 and 650; these are much bigger cranes, lattice crawler cranes, and that's really where the opportunity is. There's also some altering cranes that participate in a pace - in that space for maintenance. But that's an eight axle that we haven't developed yet.
Shahrokh Moinian: Thanks. Appreciate the time. Thank you. Thank you.
Operator: We'll go next to Mig Dobre with Baird.
Mig Dobre: All right, thank you. Good morning, gentlemen. And congratulations on a good quarter.
David Antoniuk: Thanks, good morning.
Mig Dobre: So what surprised me the most, I guess was your order intake. You know, this is the first double-digit growth that we've seen in quite some time. And in a press release, you were talking about that metric being ahead of your expectations as well. I'm trying to understand here, based on the commentary, you provided us on Slide 4 how we should be thinking about where we are in terms of demand for the cycle and maybe size the - I'm not going to call them one time, but I don't know what else to call them, these projects that you called out in the Middle East, that might have benefited the quarter, that perhaps are not sustainable on a go-forward basis? And can you kind of give us a sense as to what your view is, in terms of the sustainability of growth or the path for growth going forward?
Aaron Ravenscroft: Okay, so that's, I think, the million-dollar question, Mig. I think what's - we were very surprised with just how the third quarter played out in terms of orders, I think we've - obviously we're trying to have the toughest contingencies we could to make sure we can manage through it. So when I look at the third quarter and think about the third quarter, the thing that Dave and I talked a lot about is did we see orders coming from the second quarter that didn't happen? And even I would say, when we look at our winter campaign for the tower cranes in the fourth quarter, we see some action happening there because some people are pull - they've got other projects that they're trying to get done. And yet, if you ask them about visibility, and the next year, there's none. And now there's fewer orders. Some of our core customers that we would typically get orders from in this period, frankly, they've been much lower, because they don't want to take the risk and give us a bigger orders. So it's - I would say it's extremely difficult situation for us to really get our arms around because on one hand, we look at the numbers and say, oh, those are really good. But then when I turn around and talk to our larger, the big crane operators, and you get the feedback from them, they're extremely, let's say, conservative with respect to how they see the market. So we've been happy with the team pulled together and so far, I would say October was good for us. And right now we're sort of taking it quarter by quarter with respect to the size of those projects that you've mentioned. There's really two big chunks there, typically when we get - because crawler cranes are so expensive, when you get those small patches, those net $10 million to $20 million range. Then those projects in the Middle East, I would describe similarly. In terms of how many there were, a handful. It is interesting, it's not the large big crane operators. That's not where the orders are coming from currently. Right now our orders are coming from sort of smaller houses. They're taking advantage, I think, of the opportunity of the timing and then some of these projects.
Mig Dobre: Understood, and then my follow up is related to competitive dynamics, especially outside of North America. Right, you've got pretty tough competitors, especially in the Middle East. And I'm wondering if you've seen any different attitudes from them, any changes on the ground that either benefited you from a share standpoint or anything else that you think we should be aware of? Thank you.
Aaron Ravenscroft: Yes, so the Middle East has been extremely competitive. I wouldn't say that that's actually changed on a couple of these orders that we went to get. I mean, we went to go get them. I mean, I would say that, frankly speaking, the one we took at a price that we wouldn't normally have taken, but we need to stay relevant in the market and went after them. Nothing gets important, especially when you look at where our order book is that we've got some units to fasten - to put to the factory. I wouldn't say that the name has to change. Now, we haven't seen any of that yet, at least.
Mig Dobre: Okay, appreciate it. Good luck.
Aaron Ravenscroft: Thank you.
Operator: We'll go next to Seth Weber with RBC Capital Markets.
Seth Weber: Hey, guys, good morning. I guess you've addressed a lot of what was on my list, but I wanted to touch on the aftermarket business being down in the quarter. I guess normally, I think we would look at that as a leading indicator, right? Of kind of, if we're getting better, I would assume aftermarket would be up. You know, can you - and I know it's been a big initiative for Manitowoc to grow the aftermarket business. So can you just sort of help us understand what's going on there? Has it - was it up? I believe it was up in the first part of the year. So did something change here to push the aftermarket business down in the third quarter? Thanks.
Aaron Ravenscroft: Okay, so I'll sort of take the broad comments and I'll pass it to Dave. When I look at it, I mean, in the second quarter, we were down. Maybe we got really hit hard in April timeframe whenever COVID hit. And they stopped all the sites in Europe, quite frankly. And then, of course, we have the summer months, which are always slow and sometimes difficult to predict. So I look over the last six months, it really hasn't been the best period to go - grow aftermarket and I think that's sort of what you see in the numbers. Dave, would you add anything in terms of color on that?
David Antoniuk: Yes, Seth, so I think, generally speaking, when we look at our day rates in the aftermarket business, we had - we just had a slow start to the quarter. And you know, when I look at the year over year change, it's a small difference. It's nothing significant, right? I mean, it's probably in the 2% to 3% decline range in that particular case. And that has to do with the slow start to the - in the July timeframe. As right now, we believe that the aftermarket day rates are back to, you know, normal levels, maybe a little bit low. But it's really based upon the market and what the market conditions have at this point in time.
Seth Weber: Okay. And then just your commentary about dealer inventory levels, is that exclusive to the north to the Americas market, or is that a global situation?
David Antoniuk: Yes, that's entirely in the US markets. And it's been elevated for several quarters, it's continues to get into a better spot. But we sit still a little bit higher than what we'd like to see, and especially when you look at the current environment.
Seth Weber: Okay, I appreciate, guys. Thank you very much.
David Antoniuk: Thanks, Seth.
Operator: We'll go next to Stanley Elliot with Stifel.
Stanley Elliot: Hey, good morning, guys, thank you for taking the question. Circle back to the Middle East orders. At one point, you guys were trying to kind of make inroads of some new customers. Was curious if this is what's showing up in the results? And well, we'll leave it at - for that.
Aaron Ravenscroft: Yes, I think the - Yes is a simple answer. I mean, some of these customers, we - that we've been longtime customers to are just - with some of the quality challenges that we had going back five years ago, and re-entering those accounts, and some of it, too, has been, we were really tight on terms of maintaining our price discipline. And I think we got to a point we said, okay, we --we've got to be in the market, and we've been more competitive than, let's say. we would have been two or three years ago.
Stanley Elliot: That's fair. And I'm assuming that material costs have been trending favorable for you guys. As a result, is there any way to kind of highlight what that was in terms of the solid decrementals?
Aaron Ravenscroft: No, I know…
David Antoniuk: Yes. No, I - Stanley, I don't think that was - that - that's a really big driving factor in the decrementals.
Stanley Elliot: Okay. And then, lastly, are there any other crane markets globally kind of position like your move in the EU where you can become more vertical and closer to the customers?
Aaron Ravenscroft: Yeah, we think there's other opportunities, but we'll just take it piece by piece.
Stanley Elliot: Great, guys. Thanks for time. Best of luck.
Aaron Ravenscroft: Thank you.
David Antoniuk: Thanks.
Operator: We'll go next to Jamie Cook with Credit Suisse.
Jamie Cook: Good morning. I guess most of my questions have been answered. But just one sort of longer-term question. Just given the length of the downturn within the crane market and just understanding COVID complicates things. But do you sort of have a new view on how you think about normalized sales or margins for Manitowoc, today, I guess, relative to maybe 12, 8 months ago? And could you just help us understand how you're thinking about things? Thank you.
Aaron Ravenscroft: Yes, that's a tough one to answer, because I'm not sure everything's normalized anymore. Even when I joined the company five years ago, when I joined five years ago, everyone said it was sort of a seven-year cycle. So it's - right now it's even harder to say what that cycle is going to look like when we come out of it. I do believe if you look over the last five, six years, the market has been way down and relative to the 10 years before that. So at some point, the market is going to come back to the free dynamic. When that happens. I think it's anyone's guess, to be honest with you.
Jamie Cook: Okay, any change long term view on margins for Manitowoc or if it's still fairly consistent?
Aaron Ravenscroft: So from my point of view, on the margins, we've done all the heavy lifting in terms of cost to really move that number, because it's pretty meaningful numbers when it's got $100 million worth of costs. So it is going to be volume-dependent as you can imagine, if you swing between where we are now and even where we were last year, that would be - that would have a huge effect on our margins. And I think the last piece is just how we really start to grow the business. As I talked about in this opportunity for towers, those are going to come with better margins. So as we grow and go after new business, we want to make sure that that's favorable. And likewise, any acquisitions - any acquisitions we looked at, they are all going to be favorable for us.
Jamie Cook: Okay, I appreciate it. Thanks again.
Aaron Ravenscroft: Thanks, Jamie.
Operator: And that concludes today's question-and-answer session. I'd like to turn the conference back over to Mr. Ion Warner for any additional or closing remarks.
Ion Warner: Before we conclude today's call, please note that a replay of our third quarter 2020 conference call will be available later this morning by accessing the investor relations section of our website @www.manitowoc.com. Thank you everyone for joining us today and for your continuing interest in the Manitowoc company. We look forward to speaking with you again next quarter. Please be safe.
Operator: And that concludes today's conference. Thank you for your participation. You may now disconnect.